Operator: Thank you for standing by. This is the conference operator. Welcome to the Black Knight Second Quarter 2021 Earnings Conference Call. [Operator Instructions] And the conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Steve Eagerton, Investor Relations with Black Knight. Please go ahead, sir.
Steve Eagerton: Thanks. Good morning, everyone, and thank you for joining us for the Black Knight Second Quarter 2021 Earnings Conference Call. Joining me today is Chairman and Chief Executive Officer, Anthony Jabbour; and Chief Financial Officer, Kirk Larsen. Our results released this morning and the press release and supplemental slide presentation have been posted to our website. This conference call is being recorded and will later be made available on our website. This call will include statements related to the expected future results for our company and are, therefore, forward-looking statements. Our actual results may differ materially from our projections due to a number of risks and uncertainties. The risks and uncertainties that forward-looking statements are subject to are described in our earnings release, Form 10-K and other SEC filings. Today’s remarks will also include references to non-GAAP financial measures. Additional information, including reconciliation between our non-GAAP financial information to the GAAP financial information is provided in the press release and supplemental slide presentation. This call will be available for replay via webcast through Black Knight’s Investor Relations website at investor.blackknightinc.com. I’ll now turn over the call to Anthony.
Anthony Jabbour: Thank you, Steve. Good morning, everyone, and thank you for joining us for our second quarter earnings call. Like last quarter, this was another exceptional quarter for Black Knight as we continue to deliver very strong financial results and execute against our strategic growth initiatives. Specifically, we delivered organic revenue growth of 11%, adjusted EBITDA growth of 21% and adjusted EPS growth of 10%. We’re able to achieve these results due to the strength of our integrated end-to-end platforms and strong execution of our growth strategies. As a result of our strong performance in the second quarter, our confidence in the outlook for the remainder of the year and our 2 recent acquisitions, we are raising our full year guidance again. I’ll now walk you through how each of our businesses has contributed to these positive results. Starting with our servicing software business. We had another strong sales quarter, signing 3 new MSP clients, which brings our total to 8 new clients so far this year. With these wins, we now have 90 MSP clients, including the 19 new clients that are currently implementing MSP. These implementations along with existing clients’ current loan acquisitions and second lien conversions will add more than 2 million loans to MSP over the next 18 months. We also signed 16 new Servicing Digital clients in the second quarter, which means that 67 of our 90 MSP clients or nearly 3/4 of our clients, will use Servicing Digital as a way to deepen their customer relationships, improve satisfaction and ultimately increase retention. We continue to add capabilities to the Servicing Digital platform through integrations with our loss mitigation, automated valuation models and product, pricing and eligibility or PPE solutions. Regulatory compliance also remains a top priority for servicers. Together, our servicing digital and loss mitigation solutions give clients the ability to proactively work with their customers to electronically offer the most appropriate loss mitigation workout options. In fact, we signed 6 new loss mitigation clients during the second quarter. Moving on to our origination software business. In the mid-tier market, we signed 7 new Empower deals in the second quarter, matching our strong sales in the first quarter. To put this in perspective, so far this year, with our 14 signings, we have already signed more Empower contracts than we signed during all of last year and 2019 and are on track to meet our commitment of signing 20 to 30 new Empower clients by the end of the year. In addition, the enhancements and capabilities and breadth of services provided by our acquisition of Optimal Blue last September, has already resulted in multiple cross-sales opportunities, including bundling our PPE with all 7 Empower clients sold in the second quarter. This acquisition is also creating opportunities for us to upsell Empower to current Optimal Blue clients. During the second quarter, we added 42 new clients to our PPE solutions and 13 new clients to our hedging and trading platform. Year-to-date, we’ve added 95 new PPE clients and 24 hedging clients, and the sales pipeline is as strong as it has ever been. Moving on to the data and analytics business. This was another business that demonstrated continued momentum coming off of a strong first quarter and again achieved strong financial results in the second quarter. We signed 3 new clients to the Rapid Analytics Platform, or RAP. There are now 21 clients able to use this powerful cloud-based analytics tool to make more informed decisions and set strategies for future growth. In addition to RAP sales, the D&A team had great success selling our behavior models, property data and AVMs. The acquisition of Collateral Analytics last year continues to result in further cross-sell success. By integrating Black Knight’s property data set, along with Collateral Analytics’ AVM, we are delivering a superior solution that provides enhanced value to our mortgage clients. Lenders and servicers continue to realize the value of leveraging our innovative end-to-end technology across the mortgage continuum. As an example, 4 of the 8 companies that signed MSP contracts this year also signed agreements to implement Empower, and each is leveraging our data and analytics solutions. And as a result, we now have 27 enterprise clients. Our strong momentum extends beyond sales as we continue to identify, develop and deliver innovative solutions that create significant value for our clients and their customers. As I’ve mentioned previously, our next-generation customer service solution enables our clients’ customer service representatives to see the same screens and information as the borrowers they’re assisting. They can easily access all relevant information so they can truly help their customers quickly and efficiently. This innovative solution goes beyond improving satisfaction for the borrower. Because it is easy to use and enables customer service representatives to succeed at their job, it also helps improve employee satisfaction. We understand that retaining talent is a challenge in today’s economy. As we deliver innovative solutions, our focus is twofold: to create a better borrower experience, while giving our clients tools that are easy to use and that help them increase efficiency. Within our origination software business, we recently introduced 2 new suites as part of our Actionable Intelligence Platform, or AIP. The first is the fair lending suite, which automates industry standard regulatory reporting and delivers analytics focused on fair lending practices related to fallout. The second, mortgage call report suite, which automates the process of reporting loan officer status and production results. Both suites provide information to the lender when they need it, helping them make the right decisions at the right time while decreasing the risk and increasing operational efficiency. These are just a couple of examples of the new AIP suites that we have launched recently, and we have many other suites being developed. By combining our technologies, expertise and data and analytics in the AIP, we are helping our clients transform their operations. We also continue to enhance the work at AIVA, our AI solution, is able to do. We are excited to see AIVA’s ability to support high accuracy levels and increased volumes from our clients. Finally, during the second quarter, we integrated our Optimal Blue PPE with Empower and added pipeline monitoring, which synchronizes the data between the 2 systems and continuously monitors for loan scenario data changes that could affect pricing or eligibility. Because this enhancement automates the data synchronization, which is traditionally a very labor-intensive error-prone process, lenders benefit from greater efficiency and pricing that is always fully up to date. Next, I’m going to provide an update on how we’re integrating our recent acquisitions to add further value and strength to our already powerful end-to-end solution set. We believe M&A is a great tool to supplement our internal innovations, which is why we have completed 6 acquisitions since March of 2020. Last month, we completed the acquisition of Top of Mind Networks, which developed Surefire, a market-leading CRM and marketing automation platform that is designed specifically for the mortgage industry. The Surefire platform allows lenders and brokers to send a regular cadence of regulatory compliant communications to home buyers during and after the buying process to help them stay top of mind so that when customers look to refinance or purchase their next home, they’ll reach out to the lender who has continually provided value since the initial interaction. With the Surefire platform, lenders can easily send company-branded educational and engaging content and videos to prospective customers and major milestones during the origination process. Here are a few examples. When a prospect completes an application, they’ll receive an e-mail with information about the mortgage process and what to expect. Or when an appraisal is ordered, they’ll receive a video about what the appraisal is and why appraisals are necessary. Each piece of content is created by mortgage marketing experts who have been building a comprehensive library of information relevant to homeowners for more than 2 decades. This content is useful for first-time homebuyers as well as repeat buyers to help create a positive and memorable buying experience. Because its outreach is automated, it allows the lender to focus on generating new business, while the Surefire system helps them create customers for life. In fact, lenders who use Surefire have reported closing twice as many loans as they did before implementing the platform. Top of Mind also has a mortgage-specific CRM with data fields and integrations to external data sets that are relevant for loan officers, while also providing work tasks that help lenders be more efficient. With customer retention as one of the most significant challenges lenders and brokers are facing, this was a perfect tuck-in acquisition for Black Knight. The Top of Mind platform is being integrated into both our Empower and new broker loan origination systems as well as our point-of-sale solution and PPE. Of course, we will continue to support integrations with other technologies. We also plan to expand this innovative platform to improve growth, recapture and retention throughout the real estate and mortgage continuum. In the near future, Top of Mind’s platform will be integrated into Servicing Digital to expand our clients’ opportunities for retaining their clients. Then we plan to integrate it into the Paragon MLS platform to deliver enhanced lead generation opportunities for realtors. In early May, we acquired eMBS, the leading provider of performance data and analytics on agency-backed securities. Clients use this data to get critical insights that help them make more informed investment decisions and better manage portfolios of agency-backed securities. Since the acquisition, the feedback from clients of both companies has been very positive. We have already had success cross-selling the eMBS data to Black Knight clients and have used it to enhance our monthly data reports like the Mortgage Monitor. In summary, during the second quarter, we had very strong sales, delivered more innovative solutions and further integrated the acquisitions we’ve made over the last 1.5 years. We remain laser-focused on providing value and superior support to our clients, which has been foundational to our success. Thank you for your time today. I’ll now turn the call over to Kirk.
Kirk Larsen: Thanks, Anthony, and good morning, everyone. As Anthony discussed, the second quarter was another very strong quarter for Black Knight, and we are encouraged by the momentum across each of our businesses. With that said, I’ll take you through the details of the second quarter and our raised outlook for the year. Turning to Slide 3. On a GAAP basis, revenues were $361 million, an increase of 23% compared to the prior year quarter. Net earnings attributable to Black Knight were $40 million, an increase of 2%. Diluted EPS was $0.25, a decrease of 4%, reflecting the higher depreciation and amortization resulting from purchase accounting, particularly related to the acquisition of Optimal Blue. Net earnings margin was 9% compared to 13%. Turning to Slide 4. I’ll now discuss our adjusted results for the second quarter. In the past, we made adjustments to our reported revenue to exclude the effect of purchase accounting on deferred revenue. Those adjustments are no longer applicable, so we are not reporting an adjusted revenue metric this quarter. Organic revenue growth was 11%. Adjusted EBITDA was $177.5 million, an increase of 20.5%. Adjusted EBITDA margin was 49.1% compared to 50.2% in the prior year quarter. Adjusted net earnings were $89 million, an increase of 13% and adjusted EPS was $0.57, an increase of 10%. Turning now to Slide 5. I’ll discuss our Software Solutions segment results. Second quarter revenues for the Software Solutions segment increased 25% to $305 million. Organic revenue growth was 11%. Our servicing software solutions revenues increased 13%. The growth was driven primarily by new clients and higher usage-based revenues on MSP. In origination software solutions, revenues increased 61%, including revenue from the acquisition of Optimal Blue as well as growth from new clients, the network effect in Optimal Blue and innovation sales. Organic revenue growth was 7%, reflecting a tough comparison to the prior year quarter. Second quarter EBITDA increased 20% to $175 million, and EBITDA margin was 57.2% compared to 59.6% in the prior year quarter. The margin contraction was driven by revenue mix and increased investments in innovation and client support. Turning to Slide 6. Second quarter revenues for the Data and Analytics segment increased 16% to $56 million, primarily driven by strong sales execution across nearly all business lines and revenue from an acquired business. Organic revenue growth was 14%. EBITDA increased 29% to $21 million. EBITDA margin was 37.2%, an increase of 380 basis points. Adjusted EBITDA for the corporate segment in the second quarter was a loss of $18 million compared to $15 million in the prior year quarter. Turning to Slide 7, I’ll walk through our balance sheet highlights. At the end of June, we had cash and cash equivalents of $89 million. Total debt principal as of June 30 was $2.257 billion. We had revolver capacity of $902 million, and our leverage ratio was 3.2x on a net basis. The market value of our investment in Dun & Bradstreet, or D&B, was $1.172 billion on a pretax basis and $1 billion on an after-tax basis based on the closing price of D&B on June 30. Turning now to Slide 8, I’ll walk through our outlook for full year 2021, which we have raised from the guidance we gave you in May based on the strong second quarter and confidence in the outlook for the second half of the year. It also reflects the effect of our 2 recent acquisitions that will contribute approximately $16 million of revenue and $6 million of EBITDA this year. For the year, revenues are expected to be in the range of $1.447 billion to $1.463 billion, which represents raising the bottom end of the range by $40 million and the top end of the range by $35 million. That translates to reported growth of approximately 17% to 18% and organic growth of approximately 8% to 9%. Adjusted EBITDA is expected to be in the range of $704 million to $716 million, which represents raising the bottom end of the range by $9 million and the top end of the range by $5 million. The lower revenue-to-EBITDA conversion is due to revenue mix and increased investments in our businesses, particularly in origination software as we position ourselves for long-term growth. Adjusted EPS is expected to be in the range of $2.23 to $2.29, which represents raising the bottom end of the range by $0.07 and top end by $0.05. Turning to Slide 9. We continue to plan for incremental foreclosure revenues to be delayed until at least the first quarter of 2022. With the market origination volume outperformance in the first half, we now expect a full year headwind of $5 million compared to 2020. This represents a second half headwind of approximately $12 million. In addition, we expect interest expense of approximately $83 million to $84 million; adjusted depreciation and amortization expense of $144 million to $147 million, excluding the net incremental depreciation and amortization resulting from purchase accounting; adjusted earnings attributable to noncontrolling interest of $20 million to $21 million, this relates to the portion of Optimal Blue that we don’t own; an adjusted effective tax rate of approximately 22% to 23%, which is 1 percentage point lower than our prior guidance due to higher expected research and development credits; and full year weighted average shares outstanding of approximately 156 million. Although we do not provide quarterly guidance, I want to provide you with some color as to how we expect to progress through the year. We expect to see sequential revenue growth over the remainder of the year from new client revenues, partially offset by origination volume headwinds. We expect the sequential growth to be comparable from Q2 to Q3 and Q3 to Q4. And we expect operating expenses in Q3 to step up from Q2 by approximately 4 percentage points as we accelerate investments in AIVA and staff our professional services teams due to strong demand that we are seeing. We then expect a small sequential increase from Q3 to Q4 due to typical seasonality. The net result will be modestly lower adjusted EBITDA margins in Q3 compared to Q2 with slightly higher margins in Q4 compared to Q3. That concludes my remarks. I’ll now turn the call over to the operator for Q&A.
Operator: [Operator Instructions] The first question comes from John Campbell from Stephens, Inc.
John Campbell: Congrats on the quality results and the continued momentum and the new client wins across the board. Great work.
Kirk Larsen: Thanks. And John, thank you.
Anthony Jabbour: Thank you.
John Campbell: Absolutely. I want to touch on the enterprise clients. You guys now at 27. I think back in 2015, you maybe had a handful. So you’re showing some really good progress there. In the past, you guys said that the conversion to enterprise typically drives that client rev about 2 to 3x higher. That’s been several years since I think you’ve kind of touched on that. You’ve added obviously a lot of solutions since then. So just a 2-part question here. So first, is that 2 to 3x lift still the way we should be thinking about that conversion to enterprise? And then secondly, I don’t know if you guys have this on hand, but could you maybe help frame up what that remaining enterprise rev opportunity is just with the base today?
Anthony Jabbour: Well, I’ll start with that, John. On the enterprise client side, it’s really the strategy being executed, right? We talked about creating a lot more innovation, a lot more ways to help our clients and to integrate them into a suite of solutions. And as we demo the suite of solutions and our clients and prospects can see what it’s like being on the Black Knight bus, that has dramatically increased the number of enterprise clients. And you’re seeing it in the numbers reported. I’ll pass it to Kirk in terms of talking about the market and the conversion rate.
Kirk Larsen: Yes, John. From a revenue perspective, the multiplier effect certainly depends on the specific client and with their mix of origination versus servicing. But it is a significant opportunity and upwards of that, that 2x in some cases, it could be greater than that. So it is a significant opportunity. As far as what’s left from a white space perspective, it is significant because even -- there are instances of an enterprise client that may not be using Empower, for example, for all channels. And so adding channels is a significant opportunity and can increase that revenue opportunity. But it’s -- I don’t have the exact white space quantified here with me, but it is significant. But we’re -- the important part is that the clients are seeing the value, that we see them more and more. And I think it’s more today, the early stages of the transition to enterprise clients was very much a it was an MSP client and you’d sell Empower to that client. Now the fact that we’re signing both at the same time, and they’re seeing the value of that and our sales team is doing a tremendous job of demonstrating that value, that signing up to both at one time, we think, is a terrific proof point as to the value that can be created being an enterprise client using us from front to back.
John Campbell: Okay. That’s helpful. And I might have missed this, but on the overall -- just drilling down on origination, what is the overall transactional rev mix today? And then maybe what you’ve pegged in guidance for the back half?
Kirk Larsen: Yes. So the revenue mix today overall is -- it was 10% last quarter of total rev. It was sensitive to origination volumes. It’s now 9% in Q2. And as we project forward to Q4, we think it’s going to exit the year at 8%. So we’ve talked about it not being a material driver, and it’s going to just continue to get smaller and smaller as we sell these new deals that have high subscription rates and volumes moderate a little bit. So the story continues to be more about the subscription revenue growth, the selling new clients and much, much less about the transactional side of things. And so you’ll see that in the numbers.
John Campbell: Okay. And just to be clear, that’s -- you’re talking just origination? Or is that overall?
Kirk Larsen: That is total revenue. Total revenue. Yes.
Operator: The next question comes from Ryan Tomasello from KBW.
Ryan Tomasello: Just with the step up in expenses in the quarter and that you’re guiding to for the second half of the year, can you walk us through how you’re thinking about normalized margin expansion and expense growth on a go-forward basis, perhaps beyond the second half of the year? And maybe put a finer point on the specific areas of the business that you’re investing in. Kirk, I know you touched on a few of them. And really how you’re framing the ROI on that spend in terms of the revenue opportunity and growth acceleration behind certain of these products?
Anthony Jabbour: Sure. I’ll start. It’s Anthony. I’ll pass it to Kirk for the second part of the question. The areas we’re investing in with artificial intelligence, our correspondent lending, our new broker module, loan capture, they are all things that, based on the confidence we’re having in the growth rate, the momentum, you get the luxury of looking further and further out in terms of what investments can you make when you have a high confidence of a return. And so that’s just where we’re at right now, where we’ve got a lot of confidence in what we’re doing. These are the areas that we see. We’ve got strong conviction that they’re going to be great winners for us. But Kirk, I’ll let you answer the second part.
Kirk Larsen: Yes, Ryan, I’ll answer a couple of parts to that. The first was the step-up from Q1 to Q2 and then kind of a longer-term model. From Q1 to Q2, some of it, just to get a little granular, we have our merit increases for our employees that go from Q1 to Q2. So we have a step-up in expenses. The hiring around the growth that Anthony just described and then a little bit around incentive compensation expense based upon the outperformance of the business this year, or how I’d characterize the second quarter. A little bit of that carries over into the second half of the year as well. But we’re viewing these investments this year as we look -- we’re looking to not only 2022 but ‘23, ‘24, 20 -- we’re looking well beyond and making investments in areas that we think have long-term growth prospects. And so these are investments that I would not expect to be step-ups annual. So they’re not variable costs that come with revenue. They are investments in longer-term growth. And so -- some of that is in sales and otherwise, resources, implementations, et cetera. And so as you think about that, the long-term model hasn’t changed. We still will target that 50 to 100 basis points of margin expansion each year. We would expect it to be towards the higher end if growth is at the higher end of our long-term guidance range. So model remains the same. But this is a year, as Anthony said, of higher-than-expected growth and a period where the conviction around the prospects is giving us the confidence that we think now is the time to invest in areas that will drive long-term sustainable growth.
Anthony Jabbour: Yes. Maybe just adding on to it, I’d tell you it was when, I don’t know, probably 18 months ago, when we saw an opportunity to invest in our sales and our data and analytics business. And again, had high conviction, and we’re seeing the results from that as well. So we’ve got great visibility on where we can make investments and where we can get the returns that we would expect.
Ryan Tomasello: Great. I appreciate that thorough response from both you. And regarding the 2 integration announcements you made for Optimal Blue and Empower, and secondly, for Servicing Digital with several of your other products, is there a way to perhaps quantify the potential revenue opportunities that these open up, particularly on the Optimal Blue side with Empower? For example, maybe you could touch on the hypothetical revenue opportunity from existing Empower clients cross-selling to Optimal Blue. And if there’s any I guess, direct pricing uplift or however you would quantify it on the Servicing Digital side from those integrations?
Anthony Jabbour: Probably the best way to describe it, Ryan, is that the strategy we have of integration will drive results. We’re seeing that. And so -- and many of the examples, given like the pipeline monitoring we talked about in my prepared remarks, it’s the first of its kind. We’re creating, I’ll say, greenfield opportunities here. And so we see an opportunity -- I’ll leave it to Kirk to quantify it, but we clearly bundled our PPE capabilities into all the Optimal Blue -- sorry, into all the Empower sales that we’ve had. And one of the Empower wins that we had in the quarter was to an existing Optimal Blue PPE client. So we’re seeing the benefit of the integration coming through that way. Kirk, I don’t know if there’s anything you can quantify other than it’s just a very large opportunity that we see out there to go after.
Kirk Larsen: That’s the way I would characterize it, yes.
Operator: The next question comes from Tien-Tsin Huang from JP Morgan.
Tien-Tsin Huang: Just wanted to ask also on the lower margin conversion. I totally understand that it’s offensive investments here. But is -- are some of the acquisitions also contributing to the margin? Any surprise there? I’m just trying to better understand how much of it’s tied to that versus mix versus the investments that you’re making.
Kirk Larsen: Great question, Tien-Tsin. If you think about the -- in totality, I mean, the acquisition, coming into the year, the 3 that we’ve done, next spring, definitely having an effect on margins. It was pre-revenue. It’s an investment. It’s a growth area. And eMBS actually has very, very attractive margins. So not dilutive to any margins that we have. And Top of Mind is about a 30% margin business right now with a lot of opportunity. As it scales, it’s going to be a fast grower for us. As it scales, the margins will get to be attractive relative to the enterprise over time. So that is an element of it as you look to the second half and you think about the change versus our prior guidance, bringing that revenue on at those margins. That’s definitely a part of it. But we will do those deals that fill out the product portfolio, we’ll do those all day and know that we’re going to grow them, know that they’re going to scale and know that the margins will be attractive over time, but that definitely is a part of it.
Tien-Tsin Huang: Got it. Perfect. And then just on the -- staying with the M&A subject. I think one of the themes this earnings season, right, is some of the digital modern players have a little bit more freedom to do dilutive or creative deals and the traditional players have a different standard given margins and whatnot. So I’m curious if your appetite, Anthony, you could do deals or maybe to get a little more creative or to do larger things to enhance growth. Is that -- has that changed in your mind? Or do you feel like you can do what you’ve been doing with the tuck-ins and the organic investments on the digital front?
Anthony Jabbour: Well, we always say we’re an and company, and we’re going to do both. Certainly, from that perspective, I think you’ve seen the agenda, right, here at Black Knight, and it’s a heavy focused agenda around innovation and new technologies. We certainly see the opportunity of continuing to do tuck-ins, roll them in. They come in small, they come out large in every case here. We’ve got a great capability to leverage. And we’re also not managing this business quarter-to-quarter, right? So in this case here, we see an opportunity to make real investments to continue to really grow this company, we’re making them. And we’ve got conviction, and we want to be on the record with that conviction, knowing that we’re going to achieve the results from these investments. So overall, as we look, we feel very, very strong in our capabilities. We see it in the win rates. I mean the majority of our organic growth is coming from new clients choosing to come on to our platform, from us selling our new innovations to existing clients. The strategy is working exceptionally well here. It’s pedal to the metal for us.
Operator: The next question comes from Mihir Bhatia from Bank of America.
Mihir Bhatia: Just first, maybe if I could just start. I apologize if I -- I think I missed this in the script, you did give the number, but how much of the guidance increase is from the closed acquisitions?
Kirk Larsen: So we -- $16 million is related to Top of Mind and eMBS.
Mihir Bhatia: Okay. And that’s revenue, right?
Kirk Larsen: That’s revenue, yes.
Mihir Bhatia: Yes. Okay. And then I wanted to ask about the sharp increase. The servicing business did really well. There was a sharp increase in the growth, if you will, there. Was there anything worth calling out, maybe a client coming on or some large clients getting -- adding some add-on services, or -- I don’t know if there’s anything worth calling out from that increase.
Kirk Larsen: Sure. Yes. Yes, the 13% growth in servicing was related to new clients. The single largest new client that came on was Bank of America. So they came on in the third quarter of last year. So we had a full quarter of growth comparison compared to last year, but there are other clients that came on as well. I’d say the other drivers of growth in servicing were the things that we would expect, the things that we would -- that we focus on, which are innovative sales. So Servicing Digital has gotten tremendous traction. 2/3 of our clients did their the loans on MSP are signed up to use Servicing Digital and then continuing to cross-sell to the existing base. We have a team that’s doing a tremendous job there as well. The one thing I would add, and it was in the prepared remarks, that was a bit better than we expected is what I’ll call the usage-based revenues or transaction-based revenues, kind of the noncore processing piece of MSP, which has been -- as new clients come on, that revenue grows and its recurring revenue. As our clients are winning in the market, and they’re adding portfolios, they’re using us to help them bring those portfolios on. That was an increase in the quarter. So that was really part of what drove that -- not only drove that growth, but frankly outpaced our expectations both in the quarter and the year-to-date period. So we couldn’t be happier with -- for all those that have questioned servicing growth, in over the last year or so, I think this quarter was a great testament to the strength of that business and has a very robust outlook for the year.
Mihir Bhatia: Yes. I appreciate that. And then just last question, again, going back to margins. I just wanted to -- it sounds like you’re so confident in achieving the 50 to 100 basis points margin expansion longer term. But I guess, maybe -- I understand the environment is very favorable. You’re making investments now. What are your expectations currently in terms of how long that takes? And then when we snap back -- will the snap back early on be much higher than the 50 to 100 basis points? Because a lot of these are not, as you pointed out, variable and won’t be increasing. So like some of these maybe just go away in 2022 or 2023?
Kirk Larsen: I wouldn’t anticipate they would go away because as we invest in AIVA and AI, we’re going to continue to invest. We just may not be adding the resources at the same pace that we did this year. And so I wouldn’t necessarily anticipate a snapback because the costs won’t necessarily go away. They are investments that we want to continue to make. And we’re going to continue to make investments as we go forward because this is not, as Anthony said, a goal to see if we can expand margins on a maximum basis for a particular quarter or year. This is investing for the long term, for the long-term sustainable growth. And so I think we will continue to invest. But I think this year is somewhat elevated because of the initiatives we have in place.
Operator: The next question comes from Manav Patnaik from Barclays.
Manav Patnaik: I was hoping you could just address the competitive environment a little bit. I know you talked about a lot of new clients, win rates, and so I was just curious if you could talk about what you’re seeing out there.
Anthony Jabbour: Sure, Manav. Thanks for the question. There’s a lot of competitors, as you can imagine. But our performance has been exceptional, and I’m very proud of our sales team, and I’m proud of, obviously, all my colleagues at Black Knight, creating great products, working with our clients, listening to our clients and how we’re going to market as one Black Knight is really paying dividends. So I just think if you -- where we have competitors in, I’ll say, each of these areas, the power of the integration is significant. So we talked about some of the integrations with the PPE capabilities. With Top of Mind, we’re integrating that into our origination platform. We’re also going to integrate into our PPE. And so driving a level of functionality that just doesn’t exist out there. And there are many examples where we can point to things that only we can do. And I’d say driving innovations that ultimately are really affecting our clients’ revenue, their expenses and their compliance. And so that’s why we feel it’s not for a lack of competitors in the market, but it’s our strategy of urgently creating innovation and urgently integrating it and selling it and delivering it that I think is really putting us in such a strong position competitively.
Manav Patnaik: Got it. And Kirk, I think the way you calculate organic growth is different than our other companies. So just to help us, I mean, can you give us the exact M&A contribution from all the acquisitions over the last 12 months to this quarter?
Kirk Larsen: I don’t have it handy. But what I would say is, specifically, if you were to look at the single largest acquisition that contributed to the growth, which is Optimal Blue, I think without that, it was 1.5 points or so lower, somewhere in that area, 1.5 points to 2 points. So without that deal, which is by far the largest, I think it’s 9.5%, somewhere in that area.
Operator: The next question comes from Dominick Gabriele from Oppenheimer.
Dominick Gabriele: A lot of my questions have been asked and answered. But I guess when we think about the new sales or the expenses, again, and if we think about the new sales professionals, I guess how much of the expense ramp that you’re seeing is new talent versus the competition for existing talent? And when you think about where you’re building out your sales team, given you’re just -- you’ve had a lot of success in client acquisition, where are you putting the new sales boots on the ground for some of your products?
Anthony Jabbour: Sure, Dominick. First of all, the additional expense tied to sales is small relative to what we talked about in terms of investments in our products and investments in just additional implementation resources. And we had a very large backlog from continued strong sales. And so obviously, adding people to help on the implementation side is part of it. So I don’t know if you thought it was a larger number or not, but it’s actually a relatively small portion of the overall expense. And where we’re adding the sales expense is really, I’d say, more just across each of the areas. We talked about adding expenses -- sales expense on selling to our non-Black Knight clients, having a separate dedicated focused team just selling our capabilities out into the open market. And that’s worked well for us, and we’ve ramped that up in the past. But -- that’s how I’d explain it. Like I said, the majority of the expenses are on areas like artificial intelligence, correspondent lending and our new broker solution that we’re coming out with. And like I said, we’ve got confidence we’ll see results from that, and you’ll see those results as we continue to roll it out and have success in those areas.
Dominick Gabriele: Great. Great. And then -- I really appreciate that. When you think about turning -- you kind of answered this in different ways, but maybe I can ask this question in a different way. When you think about hopefully turning the corner on COVID and how the -- your underlying client demands have changed during -- from pre-COVID and post-COVID and all these acquisitions that you’ve made that have been enhancing your capabilities, I guess how the client conversations changed? And what are their -- how their expectations of what they need from you changed? And how does that tie into basically some of the acquisitions you’ve made and your positioning as we look ahead?
Anthony Jabbour: Sure. What I’d say is our strategy was the right strategy a number of years ago when we started off on our path of innovation and creating of Servicing Digital capabilities, modernizing all of our capabilities. And so during COVID, when the world went remote and went digital, we are sitting in a very strong position with the investments that we’ve made and the capabilities that we’ve had. And the impact, obviously, of the pandemic led to a lot of strength in our modern Loss Mitigation solutions, which, as everyone is trying to rework their loans, we’ve got the great capability to help them. So that’s kind of pre and during. And as I think post-COVID, like I said, we’re excited with just the momentum of the conversations that we’re having with our clients. I’d say early in the journey, they looked at us -- our clients looked at us as they did from the very first time that they bought something from us and maybe it was servicing a decade ago. They’re now seeing the Black Knight, and every day, there’s more and more momentum of seeing the new Black Knight with all the capabilities, all the ways that we can help. And that’s what we’re excited about there. Certainly, there’s going to be a shift in volumes, right, as rates rise at some point. And again, the investments we’re making with our technology, AI being one of the key ones, is it’s going to help our clients be more and more efficient when that time comes, right? They’ll have less volume, less revenue. And with the work that we’re doing with AI, for example, we’ll help them lower their expenses. So we’re in lockstep with them in terms of what their needs are. And we feel really good about what’s to come.
Dominick Gabriele: Excellent. And maybe just one more. I really appreciate all the color. When you think about your new acquisitions or just any acquisitions in general and you think about bringing some of those that are perhaps below the average margin up to the company margin, I guess how does Black Knight typically done that? Is it because of you bring scale to those businesses? Is it because you kind of assimilate that workforce into your own? Is it a combination? How long does that usually take to get the ones that are perhaps a little lower on the margin side up to that average, either within the segment or to the company average?
Anthony Jabbour: Thank you, Dominick. When we look at an acquisition, we’re looking at it in terms of how do we really integrate it and bring it into the company. And so obviously, at times, there will be synergies that we’ll have with some layer, some of the maybe corporate staffing layer on their side or our side, where we’ll get expense out. But certainly, the key part comes from the additional volume that we’re going to bring that acquisition. They’re going to come in small, they’re going to go out large. And so the contribution margin on the majority of these businesses are very high. And so as we ramp up the revenues, we’re also going to ramp up the EBITDA of those businesses. So -- and that’s how we’re modeling it and looking at all these acquisitions. We’re very disciplined, very thoughtful about who we acquire and what the plan looks like long -- short term but also long term in terms of how we absorb it and bring it in. So from a timing perspective, I don’t know if it’s the -- if there’s an exact number, I think it differs based on the acquisition. But Kirk, unless you have any color...
Kirk Larsen: Yes. It really depends on where they are when we acquire them. So Optimal Blue is effectively at the company average. We focus on the company average as opposed to the segment average. We don’t want to penalize the business for being in the same segment as MSP that has supremely high margins. So we would look at it relative to the total company. And so something like Optimal Blue was virtually there and with significant opportunity to expand margins based, as Anthony just described, as they grow. And some of the other businesses we’ve acquired were very close to our company average, and so they were there in very short order, and others we buy something that’s pre-revenue. It’s going to take a few years and pretty rapid growth, which is what we would expect from and if we were to buy it in that instance. So it really depends on where they are. But it’s -- they definitely are, the businesses we have acquired, were much more about the growth prospects and capabilities they bring to our clients as opposed to about how much cost we could take out. They were -- almost across the board, they’re revenue growth plays as opposed to cost plays.
Operator: The next question comes from Kevin Kaczmarek from Zelman & Associates.
Kevin Kaczmarek: I want to ask about the servicers and originators that are on their own proprietary technology platforms. Has the tone of any conversations you’ve had with them changed over the past 6 to 12 months or so? And obviously, there’s an acquisition of an incoming MSP client, but any color you can provide on how large originators and servicers using their proprietary solutions are viewing their ability to innovate and incorporate additional capabilities as rapidly as you guys? And how they view their proprietary tech versus their provider’s in general? Wondering if that conversations have changed?
Anthony Jabbour: Yes. No, I think it continues to change and continues to build momentum for us, right? As they -- and I’d say there’s probably 2 different classes as well. I think people would get there first on servicing and then second on originations. So -- and obviously, in this market, you can see with the volumes on the origination side, just being hesitant to any change as well. But we certainly feel that we’ve got great attention in the market with our clients and prospects as we’re sharing what our capabilities are and what it could look like. And again, if I go back to the investments that we’re making and where we’re making them, we’re doing that because we believe that there is opportunity out there for us to go after. And I’d say, from a sales perspective, we’re going after it very aggressively. We’ve got a culture here where everyone sells. And every day, we’re focused on any client or prospect out there that’s not leveraging our technology and how they could leverage it. So...
Kevin Kaczmarek: Okay. On the origination side, it sounded like, because everyone’s perhaps so busy and the volumes are so high, that they’re less likely to be -- start a kind of a big platform switch in this environment?
Anthony Jabbour: No, no, no, I didn’t imply that. So thank you for correcting, Kevin. Our sales originations are up. They’ll be 2 to 3x what we did last year. You’ve seen the numbers Q1, Q2. I think we’ve already signed 2 Empower deals in the quarter. So we’ve got lots of momentum there. But the point was more around if you think of what someone is going to build from a proprietary perspective, I just think that there’s a -- there’d be servicing that they’d hand off to us sooner than originations. But look, we’ve had a lot of wins in the origination space. If you look at the track record we had recently, it’s been significant. So I was just trying to rank them a bit for you, but we see opportunities in both. And like I said, we wouldn’t be making the investments like, say, in correspondent lending if we didn’t believe that.
Operator: [Operator Instructions] The next question comes from Ryan Tomasello from KBW.
Ryan Tomasello: Just circling back on the investments you’re making, it seems like one of the hidden gems that you’ve acquired with Optimal Blue and that you’ve spoken to in the past is the loan trading platform, Resitrader. And so I was hoping you can maybe talk about what types of opportunities there are to scale that platform over time, integrate it with MSP and ultimately create some sort of exchange-like platform for MSRs and whole loans on that front. Maybe you could quantify the strength of that platform today in terms of revenues and growth rates and generally what investments you’re making there or plans to make there over time.
Anthony Jabbour: Sure, Ryan. Like -- we look at that and see that there is a large opportunity down the road with this. I mean a lot of things have to change. So as we’re looking at investments, we’re trying to look at the things that we can control. And I think with this one, there’s also market effects that we won’t control. So we’re being mindful of that as we work with our clients and understand what their needs are. But we certainly believe that there is an opportunity there. It’s not 100% within our control. And so of the investments that we’re making right now, that isn’t one of them that we’re making a significant investment on just for clarity or an additional investment in. But it’s one that we continue to believe as the market unfolds that there could be opportunities there for us. And we’re really well positioned with the capabilities we have, with the trading platform, with the MSR valuation capability, hedging, client relationships, et cetera. So I hope that gives you the color you’re looking for.
Ryan Tomasello: It does, but maybe you can just clarify, Anthony, what you mean by it being somewhat out of your control. What do you think structurally needs to change in the market for a platform like Resitrader to really accelerate an adoption?
Anthony Jabbour: Well, I just think it’s changing existing practices. And it’s easy to change the existing practice with one client at a time, harder to change -- and that’s why, like I said, with Optimal Blue why we never built the capability, we acquired it. There’s a market effect that they had, and it’s a very difficult thing to create. Technology is easier to create. The market effect is harder. And that’s why, like I said, we made the decision to acquire Optimal Blue. And so with the loan trading platform, I think, to a lesser extent, there’s still a market effect that’s required. And look, we’re staying close to it. Everyone jokes it’s my pet project inside the company. But I do believe that there is opportunity for it. It’s just not something that’s flashing at us like some other areas. We see flashing opportunity, and we’re doubling down to go after that opportunity immediately.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Anthony Jabbour for any closing remarks.
Anthony Jabbour: Thank you. Yes. Once again, we’re pleased with our strong results, and we’re confident in our updated outlook for the remainder of the year. I’d like to thank our clients for their trusted and strong partnership and my Black Knight colleagues for the dedicated support of our clients and our great company. Thank you for joining us for today’s call and for your interest in Black Knight. Enjoy the rest of your day.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.